Operator: Good day, ladies and gentlemen, and welcome to the Ebix 2014 Annual Results Investors Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. (Operator Instructions) And as a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Steve Barlow, Vice President of Investor Relations. You may begin.
Steven Barlow: Thank you. Welcome everyone to Ebix Fourth Quarter and Full Year 2013 Earnings Conference Call. Joining me to discuss the quarter is Ebix Chairman, President and CEO, Robin Raina; and Ebix Senior Vice President and CFO, Bob Kerris. Following our remarks, we will open your call for your questions. Let me remind you that the primary purpose of today's call is to provide you with information regarding our fourth quarter and full year 2013. However, some of our discussion or responses to your questions may contain forward-looking statements. These statements are subject to risks, uncertainties and assumptions. Should any of these risks or uncertainties materialize, or should our assumptions prove incorrect, actual company results could differ materially from these forward-looking statements. All these risks, uncertainties and assumptions, as well as other information on potential factors that could affect our financial results are included in our reports filed with the SEC, including our most recently filed Form 10-K for the year ended December 31, 2012, under the heading Risk Factors, as well as in reports that we subsequently file with the SEC. During the course of this call, we may reference certain non-GAAP financial measures to provide a greater understanding of our business or financial results. Management, at times, may review certain non-GAAP financial information and metrics in evaluating the company's historical and projected financial performance and believe that it may assist investors in assessing its ongoing operations. The presentation of this additional information is not meant to be considered in isolation, or as a substitute for, or superior to, measures of financial performance prepared in accordance with GAAP. Please be advised that we may or may not update these additional metrics in future calls. Our press release announced in the fourth quarter and full year 2013 results was issued earlier this morning. The audio of this investor call is also being webcast live on the web on www.ebix.com/webcast. You can look at Ebix's financials beyond what has been provided in the release on our Web site, www.ebix.com. The audio and the text transcript of this call will be available also on the Investor homepage of Ebix's Web site today after 4'O clock.
 : Revenue in fourth quarter decreased by 6% from a year ago to 50.8 million, and increased 1% from Q3 2013. For the full year, revenue increased 3% to a record 204.7 million. Foreign exchange rate declines, particularly the Australian dollar hampered our revenue growth by 1.4 million in Q4, and 3.8 million for the year. In Q4, our exchange revenue decreased 5% over Q4 2012, to become 81% of our total revenue this quarter compared to 80% in Q4 2012. The quarter-over-quarter exchange revenue drop was primarily due to the considerable strengthening of U.S. dollar as compared to the Australian dollar and the Brazilian real. Our broker business revenue dropped by 8% in Q4 as compared to Q4 2012, also essentially flat in 2013. We signed new deals with several large brokers in 2012, which created substantial professional services revenue in the first half of the year. However, once clients are operational, recurring subscription revenue picks in, which while being lower than the initial revenue associated with professional services is recurring with opportunity for higher margins. The BPO Channel quarter-over-quarter revenue from its core certificate tracking and creation business increased. The overall decline in BPO business was due to the non-recurring nature of certain third-party software development activities undertaken a year ago. Carrier systems revenue declined 12% in Q4 versus Q4 2012, and increased 36% for all of 2013. Revenue from new carrier system contracts in the implementation stage are recognized on the basis of services provided on a time and materials basis which can cause some revenue variations quarter-to-quarter. The company's diluted EPS increased sequentially from $0.34 in Q3 2013 to $0.40 in Q4 2013. The earnings per share in Q4 2013 declined 17% year-over-year to $0.40 as compared to the 48% in the fourth quarter of 2012. For 2013, diluted EPS fell to $1.53 from a $1.80. The company's operating margin in Q4 2013 was 35% as compared to 37% in Q4 2012. Our gross margin was 80.2% for the fourth quarter and the full year. The company's operating margin for the year 2013 was 37%, slightly down from the 39% realized in 2012, primarily due to approximately 6.4 million of increased legal and associated corporate expenses related to litigation and regulatory matters. In Q4 2013, our operating expenses declined 2.1% to 33 million as compared to the same quarter a year earlier. Our G&A expenses, including legal expenses were higher in the fourth quarter, but were more than offset by continued focus on other cost areas that declined 6.7%. For the full year, operating expenses rose only 6%, 229.7 million. Combing all operating expenses except G&A, expenses increased 5%. G&A expenses increased by 2.9 million. The G&A line is where the nonrecurring operating expenses were booked. Legal costs year-over-year were 5.4 million higher, as noted. Partially offsetting these G&A cost increases were 10.3 million reduction associated with the net reduction of contingent earn-out accruals. In G&A in 2012, there was a reduction of contingent earn-out accruals of 700,000 and benefit of 1.5 million related to termination fee for business acquisition that was not completed. Below the operating line that's where extraordinary cost, including a 4.2 million charge to settle all claims in the Shareholder Securities Class Action Suit. The total legal expense therefore in 2013 was 6.4 million and the 4.2 million for total 10.6 million. The company's income tax expenses were significant higher in 2013 as a result of increasing our reserve for potential uncertain income tax positions by $6.8 million in 2013 compared to $2.7 million of increases to this reserve recognized in 2012. Total headcount for the year was 1927, a 1% increase from 1903 at the end of 2012. At the operational side, I will now turn the call over to Bob.
Robert Kerris: Thank you, Steve, and thanks to all on the call for your interest in Ebix. One of our main financial goals in 2013 was to further strengthen our balance sheet. To that end, the company's working capital position increased by 45% in the year to 35.7 million and 25 million at year end 2012. These were higher cash balances and increased trade receivables. The company's current ratio stood at 1.54 at year end 2013, up from 1.44 from the year earlier. Furthermore, the company continues to hold substantial cash, cash equivalent and short-term investments which is in the aggregate, a combined balance of 57.5 million at year end 2013, up 20 million or 54% as compared to 37.4 million held a year earlier. Also, the company's net debt position at year end was only $179,000 potentially (indiscernible) as compared to 22.4 million on September, at end of the third quarter 2013 and 44.3 million at the end of 2012. At year end 2013, the company's debt leverage ratio was 1.69 and our fixed charge covenants ratio was 2.44. All of these attractive liquidity positions were achieved while the company had the following major cash outflows during 2013. We reduced debt by 25 million. We paid $14 million in taxes. We spend 4.7 million on a strategic business acquisition. We paid 3 million for earn-out obligations in connection with prior business acquisitions. We used 2.5 million to repurchase 251,000 shares of our common stock; and, finally, paid $2.8 million in dividends to our shareholders. Presently, the company's bank debt with Citibank stands at 42.4 million, consisting of a 22.8 million balance on revolving line of credit, and a 29.5 million balance on our term. Furthermore, Ebix has access to approximately 32.2 million additional borrowing capacity from its financing facilities with Citibank, which is unused at present. As we stand today, we are on a net cash position i.e. being net of cash balances of approximately 7.1 million after having recently paid also during this timeframe 4.2 million in connection with settlement of the federal shareholder securities class action suit. Cash generated from operations is a key financial measure for our business, during Q4 2013 it was 19.3 million, up 49% from 12.9 million in Q3 and up 1 million from Q4 of 2012. During the full year 2013, the company generated 57.1 million of net cash flow from operating activities, a decrease of 15.2 million or 20.7 as compared to the 72 million in 2012. This decrease is primarily due to the lower net income, net of non-cash items. And furthermore, 2013 operating income was adversely affected by certain extraordinary legal and associated corporate expenses primarily related to litigation and regulatory impacts.
 : I'll now pass the call on to Robin.
Robin Raina: Thanks, Bob. Good morning to all of you. The year 2013 was filled with the usual challenges of growing revenue, maintaining higher operating margins and driving cash flow. In 2013, we increased revenue 3% with 204.7 million, achieved operating margins of 37% and generated 57.1 million of operating cash flow. The revenue was a record for the company, but we fell short of our goal in terms of operating cash flow and operating margins. The revenue growth was somewhat curtailed because of currency declines, but was likely more affected by a number of unforeseen events beyond our control in 2013. From my perspective, 2013 was a good test of the inherent fundamental strength of Ebix's strong network of clients, products and client relationships. We did extremely well on all of these fronts. As discussed in Bob's talk, we closed the year 2013 with net debt approaching zero. We are quite pleased with that. In the year 2013, the company continues to pursue a few key initiatives that are revolutionary in our viewpoint in terms of moving the insurance industry forward. We continue the development of our end-to-end health e-commerce exchange EbixEnterprise. The effort has been to build an enterprise end-to-end, fast solution that can be used by all kinds of health insurance entities involved in the health insurance chain, be at carriers, brokers, third-party administrators, health administration, claims agencies etcetera across 50 states in the United States besides the international markets. This have been a very large initiative to have been conceptualized, designed, developed and then thoroughly tested in collaboration with key insurance clients who would choose to go with this initiative. I'm pleased to report that after all the effort put in over the last few years including the testing phase for the last six months or so, this enterprise exchange solution is expected to go live with two of our large carrier clients by the end of March. Over the next few quarters, both these carriers will continue to move their clients onto the platform. We are excited about this, as it means two things. One, this will establish EbixEnterprise as a working enterprise end-to-end health exchange solution being used successfully by two large carriers, an initiative that many in the industry would have called a simple dream till now. Two, it finally provides us with a working solution that allows us to get in the race for large value enterprise health deals across the world. In view of the importance of this initiative for Ebix and the industry as a whole we intent to announce the deployment of both these carrier implementations after seeking due approvals from these clients to disclose their names. In the year 2013, we also interfaced our Multi-Quoting Health Exchange solutions with the federal exchange as also complied with the ACA initiative. That by itself was a key exercise that we have already accomplished carefully. With regards to our health content exchanges, we converted the Adam solution from being the provider of a number of focused health content multimedia exchange solutions to a solution provider, who could build infinite permutations of custom health content products for a market segment, entity or region automatically. We did that by converting our technology to a Lego block technology, and using all our thousands of content assets as building blocks to create solutions that allow us now to bid for health content solutions with governments of countries providing educations photos or e-learning niche solutions for their constituent custom solution for hospitals, EMR provider, pharma companies and search engines etcetera. We use the reach of Ebix in the life sector to build tightly integrated health content guide for life underwriters who could now do a much better job at underwriting risk. This has allowed us to be in contention for deals in Europe, Latin America, Middle East and Asia besides the United States. We expect the health business do well in the year 2014. One of our key initiatives being launched soon is SmartOffice anywhere. As announced earlier, this initiative is targeted at allowing us to generate increased recurring revenue streams from our existing large customer base of tens and thousands of clients, while providing their advisors to use the CRM solution across any mobile handheld or desktop device or browser in a mode that can be highly targeted for a particular kind of user. For example, a salesman in the field now has a mobile solution to access client data while on the road. We are very encouraged by the response of our existing large network of CRM clients to this initiative. We are also looking to build a strong partner network of paid CRM renders, who can interface to our open source code smart integrated solution to provide a variety of complementary solutions to our clients, once they contractually agree to share a part of their revenue stream at Ebix. With that in mind, we are presently conceptualizing a partner portal for CRM partners. In the year 2013, many of our key initiatives on annuities went live like the [N4] (ph) initiative and the Annuity Maintenance Platform, AMP. Both these are initiatives that are targeted at moving the annuity industry forward. We are pleased to report that AMP and [N4] (ph) both have successful live implementations now. We expect both of these initiatives to start generating increased returns for Ebix in 2014 and beyond.
 : Recently, we deployed our underwriting solution in a record time of three months for one of the largest life carriers in the United States proving the versatility and success of our technology. We are actively marketing the solution at present to the banking sector. A few weeks back, our exchange sales team presented the solution to a focused audience of 130 banking professionals at the BISRA banking conference. We are undertaking many similar initiatives in the life sector. One of the initiatives that is presently in the process of conceptualizing is an insurance lead exchange for life insurance and annuity, whereby we can sell insurance leads to our existing network of tens or thousands of brokers by interfacing these live lead prospects to flow into our CRM systems and our illustration exchange solutions. This is a 2014 initiative targeted at generating increased recurring revenue stream from our existing network appliance. Another initiative in the life insurance area is to deploy 24/7 support, seven days a week for a client at incremental recurring bundled prices. In the BPO arena, we have talked about the implementation of a vendor pay model for tracking certificates of insurance for large retailers. We are pleased to report that we are expecting to soon go live on this technology and business model with one of the largest retailers in the world for their operations in Canada. This a new win for Ebix that we are quite excited about. The model works out as follows. Each retailer vendor pays a fixed annual fee to Ebix directly into a PayPal account. Ebix receives the insurance that it gets, validates it per retailer's requirement, and the vendor is now able to do business with the retailer. Ebix BPO interfaces with the retailer through the cloud to the retailer's desktop. The benefit to the retailer is that Ebix does the entire insurance certificate tracking work and the payments are made directly and safely without the retailer having to be in the middle. Ebix received the fixed price per vendor making billing easier from our side as well. In the exchange business, we continue to sign new deals with large insurance carriers and underwriters, financial advisory firms, hospitals and pharmaceutical companies, to name some of the client segments. Last quarter I reeled off a long list of new deals that were signed in that quarter. I'll tell you that the fourth quarter was no different. Ebix does not traditionally do releases announcing deals with clients unless our clients allow us to disclose their names or the subject, and if the deals have some strategic or material value associated with them. We are continuing to pursue certain large value deals that can have a material positive impact on the company in terms of our recurring revenues and margin growth, while the timing of any of these deals cannot be taken for granted. We are actively pursuing such efforts that can be transformational for us. We will keep you posted and will declare the signing of a deal like this, if and once accomplished. We've had a number of investors ask us questions about the recent press generated regarding the so-called breakdown of discussions between Ebix and a broker association in Australia. Let me clarify that Ebix is used by a vast majority of that association users for a variety of activity including broker system. The so-called breakdown is related to the quantum of new revenues being asked for by Ebix for a new interfacing service. We are confident that both sides will come to an amicable agreement evolving a new revenue source for Ebix in Australia in 2014. Incidentally, our business in Australia had revenue of 38.3 million in 2013, up over 5% on a reported basis, and up 13% on a constant currency basis. Revenue increase owing to the creation and implementation of new exchanges as well as a 10% increase in the number of transactions flowing through our software. We are pursuing a few key exchange deals across the world that can be not only strategic, but also be material for Ebix. One of the deals that we are pursuing is to deploy a market utility solution for the entire market in a western country with a large insurance sector in a niche area. Another deal we are pursuing is a joint-venture with the government of a country to deploy and exchange in a niche market segment. We are excited about these possibilities for Ebix in 2014 and beyond. In summary, 2013 was a good year with its own set of challenges known to all of you. In 2014, I believe we have regained our momentum. This is not to say it's going to be easy. We remain focused on trying to make 2014 a record year for Ebix. Over the last decade, Ebix has been consistent in terms of its financial discipline. I would like Ebix to get back to a zero debt level sooner than later. One of our initiatives this year is going to be to get towards that level, while also getting back into making intuitive acquisitions.
 : Ebix is good at buying companies at cost effective prices, generating accretive return on investments. Using that new asset to pay down its debt and increase its cash flows, we feel that Ebix has every reason to be proud of its successful record on that front in terms of speed of integration, return on investments, financial discipline, customer attention and ability to generate increased cash flows at our levels. We intend to use that as another possible vehicle of growth both in the short and long-term. Lastly, I would like to thank our almost 2000 employees for rising to the challenges and also ensuring that Ebix continues to move the industry forward. I am very proud of all of them. With this, I'll hand over the call to the operator to open it up for questions. Thank you.
Operator: Thank you. (Operator Instructions) And our first question comes from the line of Jeff Van Rhee from Craig-Hallum. Your line is now open.
Jeff Van Rhee - Craig-Hallum: Can you hear me, Robin?
Robin Raina: I can hear you, Jeff.
Jeff Van Rhee - Craig-Hallum: Okay, great. Thank you. A number of questions, I guess first maybe for Bob to start with the cash position as of March 14 7.1 million. Can you -- I think you touched on it in the script, but can you revisit that? The 7.1 million is obviously net of a number of larger sources and uses, and can you just talk to me about what's in that 7.1 namely? I think that's your dividends and there is a few other things.
Robin Raina: Yeah, 7.1 million is simply our net cash position i.e. it's all of our debt less cash. And in this case, where we stand today, I'm glad to say that we actually have more cash than that, $7.1 million.
Jeffrey Van Rhee - Craig-Hallum: I understand the calculation. I guess what I'm saying is in the course of the quarter to-date, what have been the uses or sources of -- particularly, uses of cash? Have there been -- you mentioned the earn-outs, have there been dividends? You can walk me through what other uses went into that? Obviously, I'm trying to get a sense of cash flow from ops quarter to-date, this is cash balance, but I'm trying to work the cash amounts?
Robert Kerris: Well, I would say one of the most significant use of cash to-date in this quarter has been the payment of the $4.2 million as saying with the -- for the shareholder class action suit. Other than that, there has been nothing unusual, other than the fact that our operations are continuing to produce generous amounts of cash.
Robin Raina: Jeff, your question regarding the drop between December 31st and now, you're going to understand that, clearly meaning, I think to add to what Bob said, there would have been some buybacks also that could have also reduced the cash.
Jeffrey Van Rhee - Craig-Hallum: Okay. And then this dividend, I'm assuming that was not already paid, and I am also -- any other earn-outs or other material payments that are worth going up there?
Robert Kerris: Dividends were already paid off.
Jeffrey Van Rhee - Craig-Hallum: Dividends were in that number?
Robert Kerris: Dividends were in this number, yes.
Jeffrey Van Rhee - Craig-Hallum: Okay, all right. Okay, great. That's helpful. And then, I guess, Robin, at a high level, give me your sense of -- obviously since we don't have a guidance to build off, it's hard to get a sense of your satisfaction with the sales execution, you touched on margins and some of the things that have been weighing on, and obviously generated great cash flow this quarter. But as you look forward, I guess, give me a sense of your satisfaction with sales at this point, going into '14, you mentioned a lot of things in the hopper, are we going to see more of an investment in sales? Do you intend to see significant bumps in spend there? How should we think about your push, you in the script talked about wanting to get back to the acquisitive side, which you don't successfully for a very long time, but right now I'm specifically just talking about the organic side, give me your sense of satisfaction with sales execution, and then also, some color on thoughts on investment there going forward?
Robin Raina: I think, first of all, in terms of sales execution, if you look at where we are today, the momentum as I said in my call, I believe we are starting to gain some momentum on that side. So, I think we don't have -- in the past we've never given guidance. I'm going to stay away from that again. But having said that, I've talked about quite a few deals which can be transformational for the company, I think if we get some of those deals, clearly our numbers are going to look a lot better. But again, until we get those deals, they're not our deals. So, I'm not going to talk too much about them until we have gotten those in. Having said those, the good news is that our prospect is extremely strong. We're in very advanced stages with lots of deals that can have a material impact on the company across the world. I think in terms of our sales execution, I'm quite pleased with what we've been able to do in terms of building a very strong sales force. You are going to see more investments in international sales as we go along. Out intention is to increase our presence in a lot of countries, diversify our sales force on the ground in many of these places. For example, we want to expand more in Latin America, we would like to expand more in Europe, we would like to expand more in Asia and Australian zone and Asia-Pacific zone. So, you're going to see increased sales spend there. Other than that, I think we are continuing to -- we feel that we are reasonably adequately staffed right now in terms of sales as we continue to build momentum, we will accordingly keep increasing our sales force.
Jeffrey Van Rhee - Craig-Hallum: Okay. And then, last quarter you touched on two five-year contracts you had signed that held the potential to take that customer to be the largest EI customer that Ebix has. Have those -- where are we in terms of [rev wreck] (ph) on those contracts namely? Are they at their full run rate now, just how did those flow into revenues?
Robin Raina: Yeah, both of them are not at their full run rate, but both of them are live, both of them are flowing through the revenue run rate. In terms of 2014, we will get a full year from those two contracts, from both of those contracts. Having said that, meaning these contracts have -- to give you an example, one of those contracts has value associated with it in regards to adding more countries. The intent is to rollout products across different countries. So, as we keep adding those countries and as we keep adding newer licenses, you are going to see increased recurring revenue streams come out of those. That's one contract. The second contract -- the first one was a subscription-based contract, more in terms of backend system across the world. The second one is related to exchange. In that area, as they keep ramping up their business, and as they start rolling out more of their businesses to it, it will keep ramping up. But overall, both the clients are fully live that revenue is flowing through, right?
Jeffrey Van Rhee - Craig-Hallum: Okay. And then, I guess just back to you Bob, the tax rate, the FIN 48 adjustment, can you expand on that a little bit, just in the sense of what's the catalyst for it? Obviously, you've been through a process, and I'm curious the obvious question is does this have to do with any feedback you received thus far from the IRS in terms of the audit? And just kind of what's driving that right now? That's the first part of the question. And then the second part is we've got a tax rate model in the forward year of 15% and at least, can you give us some sense of how to think about tax rate for the forward year? 
Robert Kerris: As far as the tax rate for the forward year, I think the 15.5% where we are at now is consistent with the kind of rough guidance, if you will, that we talked about in the past, and I think that guidance would you would expect it to continue from there as we have indicated. In terms of our tax reserves, FIN 48, otherwise as any company should just constantly looking at our tax reserves or income tax positions and adjusting the reserves as needed and when and necessary, and we will continue to do that as we go forward.
Jeffrey Van Rhee - Craig-Hallum: Is it -- I mean, is there anything implicit in there though that's related to the ongoing audit or is there any other specific adjustments you've made either geographically or other areas where you're accruing at a higher rate?
Robin Raina: Yeah, I think -- Jeff, let me answer that. First of all, I think it's important to -- I think your question is regarding FIN 48. FIN 48 is a judgment call the company makes in terms of certain tax provision and so on. And it's a -- having said that, if I go back or take a step back on your question on the tax rate, I wanted to add something there. I think one factor that we sometimes forget when we talk about the tax rate is the fact that Ebix also pays MAT, Minimum Alternative Tax in India, which is not a part of our expense, but is ultimately 20% of the income in India that's how the local statutory rules work from a GAAP perspective. That's how it works. But that's an advanced tax we are paying for the future and last year there was a very substantial amount in 2013 that was paid in terms of MAT. That's on top of what you see the 15% or 15.5% rate that we talked about, because that's not an expense, but it's a cash item. So, coming back into it, I'd honestly rather have investors factor in. I feel that Ebix needs to be evaluated for its operating strength rather than just on the global tax rate. It's a nice thing that we have a reasonable tax rate. At the same time, going forward I'll rather have an investor discount that tax rate, say, what if Ebix stops paying 35% tax rate, or is this company still got investment? If I am an investor, that's what I'd be doing. And having said that, I think as a company, if we had anything in terms of anything in terms of -- I think your question was related to, is there anything that we have gotten from anywhere in terms of tax ruling or anything like that? No, absolutely not. We have -- anything like that, we would absolutely be disclosing it okay, and so on.
Jeffrey Van Rhee - Craig-Hallum: Okay. And last one from me, and I will let somebody else jump on here. Longer term, Robin, as you look at the next three to five years, you look at growth, you've talked about and have a track record, we discussed of acquiring and doing accretive acquisitions. When you think about the growth in front of the company in the next three to five years, how do you think about that incremental revenue? Mainly, do you envision 80% of it coming from acquisitions or do you envision 80% of it coming from core business growth, do you think it's maybe a 50/50, just sort of -- obviously it's not guidance, but its accrued swing at giving us a sense of how you are thinking about forward three to five-year opportunity?
Robin Raina: Well, clearly a lot of it has been going to come out of our acquisitions. And I actually feel, I am not offensive about making acquisitions. I actually feel that's a fantastic way of growing the company. If you look at my our own track record over the last -- all I know is that '99 when I walked in, this company side was $12 million and 19 million in losses and from there the acquisition strategy have gotten us the way we are; with respect to 204 million in revenue. And we've been able to -- we are today at a net debt we have -- we basically are in a net positive position in terms of debt as Bob explained. And all of that we've have done with the respect to making acquisitions, being able to get increased cash flows out of those acquisitions, integrate them tightly, put them on our technology, take them over this to a fast syndrome, make it into recurring revenue stream, make the client stick. And all of that we've been able to do and then we are able to use the cash coming out of that acquisition, to pay back the debt and make another acquisition. I don't see any reason why I should change from that. I feel one of the roles of Ebix in your management has to be capital allocation. We got to make sure what is the better use of our cash than to make acquisition and increase our cash flow on a continual basis? So, you're going to see a fair mix of that. I think we are pretty focused on both. We would like the company to grow organically. And this year, we're focusing a lot of some of the larger deals, I mean, the smaller deals will continue happening but we feel we now have products like EbixEnterprise. We have some of these market leading exchanges that can allow us to get in the midst of larger deals now. So, that is where -- I think this is -- it's hopefully slightly different for our products. From our perspective, we feel that we with a little bit of luck we could possibly find some large deals. So, having said that, when I come back into the organic, verses in organic, in terms of acquisition growth over the next five year, I think you're going to see a fair bit of both. We, meaning, I don't know whether I want to give any guidance and tell you whether 50% is going to come out of organic or 50% will come out inorganic. I would just stop and by saying it's going to be a fair mix of both, and that's how going to be our intent.
Jeffrey Van Rhee - Craig-Hallum: Okay, got it, thanks. Real nice quarter, thanks. That's it for me. Thank you.
Operator: Thank you. (Operator Instructions) We'll wait just a moment for questions. And I'm showing no further questions at this time, I'd now like to turn the call back over to management for closing remarks.
Robin Raina: Thanks, Tom. Since there are no more questions right now, I think we'll close the call. And thank you everybody for participating in the call. And we look forward to speaking to you again at the end of the first quarter. Thank you.
Robert Kerris: Thank you.